Operator: Welcome to FibroGen Incorporated Second Quarter 2018 Financial Results Conference Call. My name is Gerald, and I will be your operator for today's call. [Operator Instructions]. For opening remarks and introduction I will now turn the call over to Karen Bergman, Vice President, Investor Relations and Corporate Communications. Karen, you may begin.
Karen Bergman: Thank you, Daryl. Good afternoon, everyone. And thank you for joining call today. We will be reporting financial results and corporate updates for the first quarter of 2018. Joining me on the call today are Tom Neff; Chairman and Chief Executive Officer; Dr. Peony Yu, Chief Medical Officer; Ms. Christine Chung, Managing Director China Operations; Dr. Elias Kouchakji, Senior Vice President Clinical Development, Drug Safety and pharmacovigilant; and Mr. Pat Cotroneo Chief Financial Officer. Following our prepared remarks, Tom will close with the discussion of upcoming milestones and will open the call to Q&A. During this call, we may make forward-looking statements regarding our business, including our collaborations with AstraZeneca and Astellas; financial guidance; the initiation, enrollment, design, conduct and results of our clinical trials; our regulatory strategies and potential negative results; our research and development activities and certain other business plans. For risks and uncertainties regarding our business and statements made on the call today, as well as factors beyond our control that may cause differences between current expectations and actual results, we refer you to our annual report on Form 10-K for the fiscal year ended December 31, 2017, and our quarterly report on Form 10-Q for the fiscal year ended June 30, 2018, filed with the Securities and Exchange Commission. Copies of these filings can be found in the Investors Section of our website. We undertake no obligation to update any forward-looking statement, whether as a result of new information, future developments or otherwise. The format for today's call includes remarks from FibroGen's management team, and then we will open the lines to take your questions. The press release reporting on our financial results has been updated and a webcast of today's call can be found on the investors section of FibroGen's website at www.fibrogen.com. And the webcast will be available for two weeks from today. And with that, it's my pleasure to turn the call over to our CEO, Tom Neff.
Thomas Neff: Thank you, Karen. Good afternoon, all thank you for joining us. Today, we are going to concentrate on our most recent achievement and timelines for our late-staged programs across multiple indications roxadustat for the treatment of [Technical Difficulty] and pamrevlumab for the treatment of fibrosis and fibroproliferative disease. I would like to start with an update on roxadustat development in the U.S., Europe and Japan. In the U.S., we have completed patient in all Phase III studies designed to support U.S. new drug application for roxadustat and treating CKD anemia in dialysis-dependent patients and non-dialysis-dependent patients. The U.S. E3 Clinical program sponsored by FibroGen and our partners Astellas and AstraZeneca has enrolled a total of approximately 9,000 patients and all studies will complete shortly. We look forward to reporting top line results from these studies before year-end 2018. We are also on target to report on Mason point analysis in early 2019 followed by a submission of our NDA for roxadustat for U.S. Food and Drug Administration in the first half of 2019. In Japan, we together with Astellas our partner in Japan for the EU announced that Astellas [for] Japan Phase III dialysis for roxadustat met it's primary endpoint. This study evaluated the efficacy and safety of roxadustat compared to darbepoetin alfa and hemodialysis-dependent CKD patient's treated with recombinant human erythropoietin. Roxadustat was effective in maintaining hemoglobin levels and met primary efficacy endpoint and the study was safety results that were consistent with previous studies. Dr. Peony Will provide more details on these results shortly. Astellas anticipates submitting the first NDA for roxadustat in Japan for anemia associated with dialysis-dependent CKD later in 2018. In the non-dialysis-dependent program, Astellas is conducting two Phase III studies and expects top line results in first of these studies in the fourth quarter of 2018. In China, FibroGen China has made significant strides working with regulators and preparing for the anticipated approval in dialysis-dependent and non-dialysis-dependent CKD by the year-end 2018. We are pleased to share with you the good news that the technical review agency, the CDE has been progressing steadily in this multi-step review process. And we are advancing that to final regulatory activity prior to a decision. We still believe a year-end 2018 approval is achievable. We have a strong operational team in China with more than 150 employees, many of whom are working closely with AstraZeneca to commercialize the first FPHI therapeutic in the world. Christine Chung, Managing Director of China is here with us today and she will provide updates on regulatory manufacturing and free commercial efforts supporting roxadustat in China. Moving on to pamrevlumab. In the third quarter, we have added into Phase II meetings on IPF and LAPC with FDA, and we have completed the enrollment in our Duchenne muscular dystrophy Phase II trial. By inhibiting the activity in GF, which is a known center mediator of fibrosis, pamrevlumab has a the potential to be a targeted therapy for Idiopathic Pulmonary Fibrosis. We met with FDA into Phase II meeting regarding IPF. We are generally pleased with the results of this meeting. However, we will defer any comment until we receive our minutes from FDA. In fact, we had a cancer at ASCO 2018, presented our latest clinical update on pamrevlumab and the treatment of LAPC. The result, the response from academic and treating physicians, patients and advocacy groups has been overwhelming positive as pamrevlumab novel treatment with the potential to transform nonresectable patients and the surgical candidates. Surgical resection is generally recognized as important goal and effective means to extend overall survival in this population. We recently met with FDA and came to agreement on the design and size of our pivotal program. We received guidance from the FDA on the basis for consideration of accelerating based on the resectability and resection rate. Dr. Elias Kouchakji will provide more detail on our pivotal IPF and pancreatic cancer program later on this call. On the financial side, at June 30, FibroGen had $733 million cash. This sum represents an increase in our ending cash quarter-over-quarter and in addition, we've increased the cash forecast for the full year in 2018. These changes in results are due to the proceeds from the first shipment of commercial grade roxadustat API supply to Astellas for Japan in the second quarter. Pat will discuss [Technical Difficulty] for year in 2018 later on this call. And I would like to turn this over to Dr. Yu for updates on the anemia program. Peony, please go ahead.
Peony Yu: Thank you, Tom. We're entering an exciting time in the roxadustat development. So let's go right to the status and timeline of our program in the various geographies. Chris will talk about this shortly. To begin with CKD in the U.S. and Europe. Last quarter we announced the enrollment completion of over 9,000 patients in our global Phase III clinical program. We are now finishing up the multiple studies required for registration in the U.S. and Europe. With the last patient visit planned for September, we are on track to report top line study results in the fourth quarter of this year. We plan to report results off adjudicated pool MACE analysis early in 2019. We have been asked why MACE we felt will be reported after the individuals data instead of being done at the same time. Typical clinical data such as hemoglobin or adverse events may become available once the lab tests have been performed and reported or when the adverse events have been reported by the [Technical Difficulty]. However, MACE adjudication takes additional time even after the potential MACE event has been reported. The adjudication process requires our pain relevant document from clinical sites where the event occur. Supplying the documents to external [Technical Difficulty] need to review and come to sufficient consensus in order to complete the adjudication process. Lastly, since 2014, our DSMB has been conducting periodic safety review of our Phase III clinical studies. In our most recent and final DSMB review, before study completion this September, we once again, received the recommendation to continue studies as per current protocols. We are working diligently with AstraZeneca plus our goal of submitting the U.S. NDA to FDA in the half of 2019 and with Astellas working on preparation for MAA submission. Turning to Japan. There are six Phase III roxadustat studies for supporting Japan registration. To date, Astellas has completed the four Japan Phase III dialysis studies to be included in the Japan NDA for treatment of anemia in CKD patients on analysis. The most recently reported study 307 is a six-month double-blind, double dummy randomized controlled study in 303 hemodialysis patients, whose hemoglobin levels have been maintained between 10 to 12 grams per deciliter with EISA. Then randomized one-to-one to receive roxadustat or. Average hemoglobin levels were effectively maintain at 10.99 grams per deciliter. Weeks 18 to 24 in roxadustat treat the patient. The primary efficacy endpoint was will met with demonstration of noninferiority in the [Technical Difficulty] and average hemoglobin level from baseline to weeks 18 to 24. It was negative 0.04 grams per deciliter in roxadustat to treat the patient's versus 0.03 grams per deciliter -- I am sorry, minus 0.03 grams per deciliter in the erythropoietin compare trial. The lower round of the 95% confidence interval of the treatment difference were greater than the prespecified time noninferiority margin of negative 0.75 grams per deciliter. Roxadustat was well tolerated in this study and a safety profile was consistent with that observed in previous studies. Our studies is on track to submit the NDA in Japan for anemia associated dialysis-dependent CKD in 2018. Turning to anemia beyond CKD. For those of you following FibroGen, no doubt you have heard about our plans to roxadustat into other anemia indication, including oncology related anemia. This last quarter we began dosing in a Phase II, III study in China in non-transfusion-dependent anemic MDS patients. And we have already separately started a Phase III [Technical Difficulty] dependent MDS patient. I would like to call back to Tom.
Thomas Neff: Thank you, Peony. Christine Chung who Heads our China operations will now provide updates on activities and timing. Chris, please go ahead, sir.
Christine Chung: Thank you, Tom. It's great to join my colleagues here on this call today. We have made significant head way on NDA review process in China. We now have the following major regulatory activities to complete prior to market authorization. Final review meeting between FibroGen, the Center for Drug Evaluation and a panel of clinical experience. On-site experience of our API and drug product manufacturing in Beijing by the Center for Drug and Food Inspections, or the CFDI. Analytical testing of the API and drug product material to be manufactured during the inspection by the National Institute of Food and Drug Control or the NIFDC. Inspection of 808 nondialysis clinical trial sites. With these final steps approval insight where we're intensifying our efforts with AstraZeneca China on launch readiness. Under the China partnership with AstraZeneca, FibroGen leads the regulatory clinical and C&C matters and AstraZeneca leads in product execution -- efforts to prepare the market for a strong launch are well underway. Communicating the scientific differentiation of PHI in anemia therapy. Collection of real-world evidence to roxadustat value proposition in China, development of a pharmacoeconomic model to support favorable reimbursement as well as identification of high priority target sites. During 2018, the Chinese central government introduced significant reforms in the health care sector, including acceleration of reimbursement and expansion of access to urgently needed innovative medicines. FibroGen these changes are highly favorable to a novel first-in-class drugs right like roxadustat. We are planning to gain acceptance of roxadustat into the government's reinforcement program. Timing can be unpredictable. Based on early signals from the Chinese government, at this moment in time, we believe, the next reimbursement opportunity will come into 2019 to 2020 time frame. On behalf of her team in China and myself, we recognize the significance of China potentially becoming the first approval country for any have HIF-PHI in the world. And we eagerly anticipate the opportunity to introduce a new treatment paradigm for the treatment of anemia in Chronic Kidney Disease patients. We, of course, look forward to updating you on our progress on FibroGen China in the upcoming quarters. Thank you again for your time. Tom?
Thomas Neff: Thank you, Chris. Dr. Elias Kouchakji will now discuss recent developments for pamrevlumab and our IPF and pancreatic cancer programs. Elias, please go ahead.
Elias Kouchakji: Thank you, Tom, and thank you, everyone. We have continued to work intensively this quarter on pamrevlumab development in idiopathic pulmonary fibrosis and locally advanced and resectable pancreatic cancer. In IPF, we reported initial positive Phase II clinical and efficacy data, which include quantitative measure of lung fibrosis measured by H plus D and quality applied by St. George's Respiratory Questionnaire. We reported in multiple poster presentation at the 2018 American Thoracic Society conference in May. The interesting [ph] combination with the previously reported positive results from this 48 week study, that provide a strong justification for the development of pamrevlumab as monotherapy for IPF. As Tom mentioned, we met with the FDA on the Phase III trial designed for pamrevlumab in the IPF. We are looking forward to receiving the FDA [Technical Difficulty]. We expect to commence our study in 2019. Now I would like to transition to the locally advanced pancreatic cancer. At ESCO in June, we presented positive results from the Phase I, II studies. Patients who successfully completed the treatment course were evaluated for resectability of their tumor using standard criteria for cyst in NCCN as well as a new criteria and changes in PET/CT scan or biomarker CA 19.9. [Technical Difficulty] anyone of this criteria provided their basis for surgical assessment. In this study, a higher proportion of patients who receive neoadjuvant treatment of pamrevlumab in combination with nab-paclitaxel and gemcitabine became eligible for surgical resection at 70.8% and underwent successful resection of their cancer at 33.3%. Then patients who were treated from chemotherapy alone were at 15.4% and 7.7% respectively. For certain patients whom met the eligibility criteria for surgery after treatment, individual patient condition also contributed to whether recession subsequently occurred. These results were well received by ESCO attendees. I would like to adhere that there is no approved therapy for LAPC. As our end of Phase II meeting with the FDA, we agreed on a pivotal trial design and this double-blind study approximately 260 patient with LAPC will be randomized, one to one to receive pamrevlumab or placebo in combination with gemcitabine and nab-paclitaxel for six months. Similar to our Phase II trial this will assess resectability, resection and the primary endpoint to overall survival. If the results will get higher resection rate favoring the pamrevlumab combination arm at the end of treatment period, the FDA has agreed to discuss the adequacy of this result to support marketing application under the provision of accelerated approval. The study will continue to follow up patients for overall survival. We are currently working on the clinical design and regulatory groundwork needed to start this study in early 2019. We are making good progress in evaluating pamrevlumab as a treatment for Duchenne muscular dystrophy. As mentioned previously, we have completed enrollment of our Phase II clinical trial for young men adults with nonambulatory Duchenne muscular dystrophy. In this trial, we enrolled the Duchenne patients regardless of their genetic mutation. Efficacy measurement include pulmonary function, upper muscle tests and MRI imaging. We look forward to advancing pamrevlumab into pivotal clinical trials and IPF, LAPC and DMD in hope of providing treatment options for this unmet medical needs. Thank you for your time today and I will return the call back to Tom.
Thomas Neff: Thank you, Elias. Pat Cotroneo, our Chief Financial Officer will now discuss financial highlights for second quarter 2018. Pat, please go ahead.
Pat Cotroneo: Thank you, Tom. As announced today, total revenue for the quarter ended June 30, 2018, was $44 million, as compared to $30.3 million for the second quarter of 2017. For the same period, operating expenses were $67.2 million and net loss was $23.4 million or $0.28 per basic and diluted share. As compared to operating expenses of $60.4 million a net loss of $31.9 million or $0.46 per basic and diluted share for the same period in the prior year. Included an operating expenses for the quarter ended June 30, 2018, was an aggregate noncash portion totaling $15.2 million, of which $13.2 million was a result of stock-based compensation expense as compared to an aggregate noncash portion totaling $11.5 million, of which $9.6 million was a result of stock-based compensation expense. Following the first shipment of roxadustat API to Astellas for the manufacture of commercial drug product in the second quarter, $20.9 million was recorded in accounts receivables and in deferred revenue as of June 30. We anticipate this revenue will be recognized upon execution of an amendment to the Astellas Japan agreement currently anticipated in Q3, 2018. In the second quarter, pursuant to the new revenue recognition guidelines under ASC 606, which we adopted at the beginning of 2018. We are also reporting a $15 million anticipated milestone from Astellas in connection with plan, Japan NDA resubmission later this year. This is the first time we are recognizing revenue from a milestone payment in a prior period to milestone achievement following adoption of new revenue recognition guidelines. Under the new revenue recognition guidelines, we are required to include estimated consideration for milestones into termination of revenue recognition, the period that milestone achievements become probably, which under U.S. GAAP rules is generally interpreted to be at least 75% to 80% likelihood. As of June 30, 2018, we had $733.7 million in cash as compared to $730.4 million at the end of Q1 2018. For these purposes, total cash refers to cash as well as cash equivalents, receivables, investments, consisting primarily from great corporate debt and restricted time deposits related to our building lease. We are currently projecting a year-end cash balance in the range of $650 million to $670 million. The increase in the 2018 cash projection from what we projected last quarter is primarily due to the sale of API to Astellas as previously noted as well as incorporating forecast data, which includes cost savings achieved in our clinical trial studies in the first half of 2018. Thank you. And I would like now like to turn the call back over to Tom.
Thomas Neff: Thank you, Pat. We are continuing to make excellent progress in our late staged roxadustat and pamrevlumab programs. Looking to the second half of 2018, I would like to take a moment to discuss the upcoming developments and milestones. Starting with roxadustat. The roxadustat in the U.S. and UAE are on targeting reforms the top line study results in CKD anemia and dialysis-dependent and non-dialysis-dependent patients in the fourth quarter of this year. In Japan, roxadustat is used for treatment of anemia and dialysis is on track for 2018. In China, we anticipated market approval decision for roxadustat by year-end 2018. For pamrevlumab in IPF, we have had our Phase II meeting and we look forward to receiving our minutes from FDA. We expect to start the Phase III study in early 2019. In locally advanced pancreatic cancer, we are proceeding with Phase II study plan and target study start it 2019. With that, I would like to turn the call back over to Karen for question-and-answer period. Karen, please?
Karen Bergman: Thank you so much. I think, Operator, we would like to open up the lines for questions.
Operator: [Operator Instructions].
Karen Bergman: We're experiencing a technical problem. We are going to fix this just as soon as we can.
Operator: Can you guys hear me?
Karen Bergman: Okay.
Operator: [Operator Instructions].
Karen Bergman: Okay. Hold on one moment.
Operator: This is your operator, can you hear me? Can you hear me?
Thomas Neff: FibroGen's having a technical problem. We're going to dial back into the call.
Operator: And ladies and gentlemen, please stand by while the host dials back in. All right. We have our speakers back online. Can you hear me?
Karen Bergman: Yes. Thank you, everyone, on the line. We apologize for this technical difficulty. Let's go back to the Q&A portion.
Operator: [Operator Instructions]. And our first question comes from Joel Beatty from Citibank.
Joel Beatty: First question is on the pancreatic cancer phase II design. Can you hear me?
Thomas Neff: Yes.
Joel Beatty: Could you give us a sense of the end point side resectability and resection and where things stand with FDA with regards to those being potentially approvable end point?
Thomas Neff: I think, Elias, you should good at and answer this please.
Elias Kouchakji: Yes, sir. As you heard that as stated that they are willing to take a look at the data of their resectability and their resection rate as are significant and favorable to pamrevlumab arm. They are willing to be with us on the provision for accelerated approval as surrogate end point.
Thomas Neff: Thank you. Next question please.
Operator: And our next question comes from Michael Yee from Jefferies.
Michael Yee: On the follow-up question on pancreatic cancer. Is it the understanding that a significant improvement in resectability and resection is final in other words, what is the hurdle? What do you guys team as the hurdle to be defined as good enough data to discuss? And what the survival data ultimately need to pan out in order to support a full approval. Can you just describe how you would expect that?.
Thomas Neff: Let me ask Elias to go ahead and go over your understanding on resection, resectability as Michael asked.
Elias Kouchakji: See Michael, as that be look at the result of the Phase II study and they are concerned this result as a very significant. This is where we are looking to maintain similar result that you have a significant difference in the results between the twostudy arm and that was not specifically designed the percentage of the patients. That is how to maintain the resectability and resection should be maintained as both of them significant for the pamrevlumab arm. If we reach significance that will be sufficient enough of them to view under their provision.
Thomas Neff: Next question, please?
Operator: And our next question comes from Geoffrey Porges from Leerink.
Geoffrey Porges: I think you made a lot of progress in China. I would be interested in update on what the addressable patient population is immediately after approval you have discussed in the possibility of a private pay market in China. And would that be immediately addressable? And then secondly, could you clarify your comments about reimbursement? You now anticipate full national reimbursement being the path to getting coverage or would it still be on a province by province basis over the 12 to 24 months period?
Thomas Neff: You can go over understanding with the dialysis market side as well as a private pay market size and the various options for reimbursement. Please go ahead.
Peony Yu: Sure. So thank you for the question. So the first question is what is the addressable market size immediately after approval. We will talk about the timing in the second question. Currently China has over 500,000 dialysis patients. It's the largest dialysis patient cohort in the world. There is 80% ESA penetration. We have shown that we are in at least not inferior to ESA and in early market research we believe we are very, very competitive. So we believe the entire dialysis treated ESA population is addressable to us. In terms of the term immediately because we're a domestic Class 1.1 drug, we cannot start manufacturing commercial material until after NDA approval. So the launch is noway immediate after NDA approval unlike in the United States. The second question with regard to reimbursement whether we do a full national reimbursement or provisional reimbursement entirely depends on two factors. Number one, when the government calls for the opportunity to invite participants to be considered for national and second whether we are eligible based on the rules that are yet to be discussed.
Thomas Neff: Okay. Thank you, Chris. Let's go to the next question please.
Operator: And our next question comes from Andy Tsai from William Blair.
Andrew Tsai: Number one, I just want to get a sense of the robustness of the resectability. Can you describe is this measurement is investigated or assessed? Our it has to go through an independent third-party blinded review?
Thomas Neff: Elias, I think you should probably answer that. This is for the Phase III study.
Elias Kouchakji: So for the Phase III study there will be an independent adjudication committee for their resectability and we will still be using the same criteria that we used in Phase II studies. This criteria was discussed with the agency and was accepted.
Thomas Neff: Next question, please.
Operator: And our next question comes from Difei Yang from Mizuho Securities.
Difei Yang: So again, on pancreatic cancer, do you plan on the interim analysis of the trial? And if so what is the rough timeline we should be expecting results?
Thomas Neff: So Difei, thank you for joining this call from Mizuho. Thank you. Alias, go ahead and address this question.
Elias Kouchakji: So the timeline of the interim analysis is it would be at the time when all patients completed the assessment of resectability and resection, which is the treatment of six month, plus one month after that for the resection. So seven months after last patient enrolled.
Thomas Neff: Our understanding is that the point when 260 patients have gone to seven months of treatment, we'll get to the point…
Difei Yang: Okay. And then for the 260 patients, are they primarily U.S.-based or global trial?
Thomas Neff: This is a global trial. So the question here is beyond the U.S. or we're planning on enrolling anywhere with regard to the pancreatic cancer study? Elias, please?
Elias Kouchakji: This is again going to be a global trial as Tom was alluding to. So this is not the U.S.-based. So we're looking forward to include additional country. We are specifically planning on enrolling some patients in China.
Thomas Neff: Next question, please.
Operator: [Operator Instructions]. And we have a question from Geoffrey Porges, a follow-up question.
Geoffrey Porges: You moved through the questions quickly. I appreciate the follow-up. Could you just talk about...
Thomas Neff: Sorry, Geoffrey, we already had a question so just make one question please.
Geoffrey Porges: Okay. You asked a question?
Thomas Neff: You may ask a question.
Geoffrey Porges: Thanks, Tom. Specifically on the MACE analysis of the comparison with ESA and Toshiba. Could you give us a sense of what the hurdle is? The numbers are going to be small. So noninferiority, numerical difference. How is that going to be presented and measured?
Thomas Neff: Peony, did you understand the question here?
Peony Yu: Not quite. Jeff, can you clarify your question?
Geoffrey Porges: For the MACE, for the combined MACE analysis in the first part of next year. What is the hurdle on roxadustat? What do you need to show? Is it going to be a statistical analysis or is a noninferiority alone? Or is it going to be a numerical difference? How is that difference going to be presented?
Thomas Neff: I think we understand it now, please, Peony go ahead.
Peony Yu: Yes, so Jeff, for the MACE analysis just to be clear we -- this NDA submission includes both dialysis and nondialysis indication. The nondialysis, there will be two separate MACE pools. The nondialysis MACE pool will consist of three Phase III studies. It will be a comparison between roxadustat versus placebo. The dialysis pool will consist of four Phase III studies and the comparison will be between roxadustat versus epoiten alfa. So the basis of what we need to show in both pools is a demonstration of noninferiority in comparison relative to the competitors. So in other words for safety comparison in nondialysis we need to demonstrate MACE to be non-inferior to placebo. Now, of course, it will be a bigger homerun if we demonstrate better safety than placebo since we do believe that it is beneficial to CKD patients with anemia to have their hemoglobin corrected. And for the dialysis again, it is the safety -- for the safety comparison is noninferior to [EPO].
Thomas Neff: Next question, please.
Operator: [Operator Instructions]. And we have no more questions at this time.
Thomas Neff: Thank you for joining the call today. We feel we have made remarkable progress in the second quarter 2018 in advancing our late-staged pipeline programs through critical, clinical and regulatory development stages. The results of these efforts continue to signal the potential of our therapeutic programs to help patients struggling with anemia associated with chronic kidney disease and myelodysplastic syndromes, as well as of Idiopathic pulmonary fibrosis, locally advanced pancreatic cancer and Duchenne's muscular dystrophy. I would like to take a moment to express my deep appreciation to all of my FibroGen team colleagues in the U.S. and China for their commitment and incredible effort as the work pace has been very, very high this quarter. And my thanks for our partners and investors for their support. We look forward to keeping you informed on program developments. I would like to wish everyone a good afternoon and good evening. Thank you.
Operator: Thank you, ladies and gentleman. This concludes today's conference. Thank you for participating. You may now disconnect.